Operator: Thank you for joining us here today. My name is Chris Naprawa. I’m the President of Khiron Life Sciences. I’m joined today with Alvaro Torres, CEO. Thank you all for attending this morning. As you know, we posted our Q4 and year-end results on Friday and we’re here to answer any questions. This will not be a traditional conference call where we read from a script. We’ll give you a little update, first me, then Alvaro. Please any questions that you have, put them into the question area. We’ll get to as many as we can. We’re going to have a hard stop greater than hour, but we’ll get to as many as we possibly can. We, again, we’re going to keep it informal and keep it up to date. I assume everybody can look at the results themselves and we’ll just give you a little bit of an update. I also encourage everyone to look at our disclosure on SEDAR. That’s the information that can be relied upon. All the forward-looking statements and all the disclaimers are posted on our Web site, and we would ask you to have a look at that. So talking about the year that we’ve had, it’s been a really, really exciting time over the last couple of months [ph], despite everything that’s going on in the world. Here’s a bit of an update for you. We are now the first and only company that can sell medical cannabis in Colombia where first prescriptions went out at the very end of March, and that’s a huge achievement by the entire team. We just signed our deal in Brazil with Medlive. We’re going to give you some more details on that. That’s an exciting agreement. That’s a large company. It has about 1,000 employees. It’s been in business over 20 years. We have our import license and distribution license in Peru, and as you know we already announced a partner there. Europe, the 2021 project is really, really exciting and we’ll give you an update on what’s going on in Europe as well as we’ll go through this. And we launched our new clinic Zerenia. That launched in February. It’s operating right now. It’s an amazing new clinic. It expands our clinical reach by about 75% in that market. Also, as we’re talking through here today, I’ll encourage everybody to follow us on @khironlife on Instagram where we can give lots of updates and also sign up for our news letter, if you haven’t already done so, all the kinds of updates that we can give you and a little bit of color what’s going on in our various regions outside the regular press releases. So I’m going to turn it over to Alvaro just to give a little bit of an update and then an overview, and then we’ll get to some questions.
Alvaro Torres: Thank you, Chris. Thank you for that introduction. Good morning, everyone, and thank you for joining us today. As Chris said, we really want to get into some of the questions that you may have, but I thought it would be probably important to begin by reminding everybody about what this company is because I think everything that we’ve done to this year in 2019 and everything that we will do in 2020 is aligned with that strategy. I think first of all is that our goal at Khiron is very clear. Our objective is to improve the quality of life of people and consumers through the applied use of cannabis. We believe that the more value we can add to our patients, the more value we can add to shareholders. That’s why everything that we work at this company is always about access, it’s about quality, it’s about developing and bringing that brand to those patients and those consumers. We are not in the business of exporting low cost extracts of cannabis. We’re not in the business of selling $0.80 a pound coffee. We’re in the business of selling $4.00 lettuce. And that of course is always a little bit more difficult, it’s always more regulated. This company has shown in 2019, 2020 that all the capital that we’ve received from investors has been well spent that we’ve been able to achieve milestones that nobody else in this region has been able to achieve. I think that we are in a position today where we are the top brand in medical cannabis in the region all the way from Mexico down to Brazil and we have done this because we have maintained that focus on patients. Building brands is very important to us because we need to understand the needs of those consumers, we need to develop high-quality products, we need to create a very efficient distribution platform and we need to create a health service strategy to our patients. We are focused now in 2020 on how do we bring those products to the patients, how do we bring better service, how do we ensure that they have to minimize the amount of time they have to go to pick up their medication, we have to talk about how do we bring out that brand and make sure that they understand that we are here to understand their needs. I think everything we’ve done in 2019 and everything we will do in 2020, it’s adjusted to that. We are of course not in the business of exporting B2B type of company and that may sometimes be easier, but from the beginning we’ve always thought that that business is a business that continues to go down in price as this – things like CBD become commodity prices and we’re seeing it in the United States and in Canada where things that used to be worth $8 on a gram now are worth $2. So how do we make ourselves more valuable to shareholders? By being more valuable to our patients. So everything that we have achieved so far is always geared towards that. And I think the team that we have assembled today, the team at Khiron has been greatly responsible for this. I think as Chris said, we don’t talk about this much, but to be able to obtain the milestones that we have obtained at Khiron during this COVID crisis I think is unbelievable, and of course we have to keep moving forward and COVID creates for us a lot of challenges. But we were able to obtain – be the first and only – today only a Colombian company to be able to prescribe medical cannabis in Colombia. So can we do it in Peru and Brazil, Mexico and the rest in UK? I’m very certain that we can and we’re already doing so. So, every step that we’re doing is geared towards that. So that being said, reminding everybody of what the company’s about and why we’re not in the same business that many others were looking to become part of the supply chain. We’re not looking to become part of the supply chain of everybody. We’re looking to be the end brand that actually goes to the consumer and we will work on the supply chain strategy to make sure that we can deliver that product on time, affordably and with a really good quality service. We have three business lines in our company. One is a medical health services which is led by ILANS and Zerenia. ILANS’ the clinic that we bought almost a year ago which gave us this year about $9-something-million in revenue which you can see in the MD&A and the financial statements. We have Zerenia which is the clinic that we just recently launched, which is, as Chris said, is going to increase our capacity by 75%. This is a sum of where we’re going to be bringing the funnel of patients that we can service with medical cannabis. We’ve already implemented telemedicine at these clinics which considering what’s happened with COVID is going to have a tremendous impact on everybody regarding the way that patients approach medicine and it’s good that we are in the forefront of that going through all the difficulties and challenges of implementing a total telemedicine strategy, but we’ve been doing that successfully since we launched in about three weeks ago, so I think that’s going to be the future. We’re going to be able to complement the old fashion brick-and-mortar strategy. The telemedicine strategy is going to allow us to bring in more patients. We have KhironMed, which is our pharma division which is the focus on producing and selling medical cannabis products and developing new products. The synergies between these two entities cannot be understated because the more data that we can generate so that we can understand better the needs of the patients, the better products we can have. And lastly, our CBD division called Khiron Wellbeing, which is led by Kuida, it’s an amazing brand. We had tremendous success in 2019. 2020 is giving us some challenge with COVID, but we are meeting those challenges greatly. We recently partnered with a company called Rappi. For those of you who don’t know, Rappi is sort of like the Latin America’s DoorDash. It’s also backed by SoftBank. It’s the largest door-to-door delivery service in Latin America. It’s a Colombian company by the way as well. And we already opened a Rappi store in their platform and we launched last week our own nice sales of Kuida. We spent a lot of time and effort to build a successful brand. Kuida is now being sold in the United States, in the UK and I wouldn’t be surprised if we started to see a little bit more of demand for this product in other markets outside Colombia starting in the second half of this year. So Kuida has been for us a great way to approach consumers. We have 300 points of sales and we have been able to build the relationships with the top retainers like Éxito, like Cafam, like Farmatodo which is going to be very important for the future. Last year, those three divisions they serviced our sales on clinical CPG wellbeing and this year we started with medical and we’re doing medical in Colombia, Peru, Brazil and the UK. Mexico, we’re looking to wait for the last regulations to come out. And of course with COVID I think this will be delayed a little bit, but there’s no doubt that the Mexican market is coming and I think there’s no doubt that if there’s a company that by the time Mexico picks up, we’ll have a tremendous amount of knowhow and a tremendous amount of patient base that will be Khiron. We specified in the MD&A a whole lot of initiatives that we’re doing to this crisis. I think we’d just like to say that we are a resilient and relentless company, so we are meeting these challenges in the most positive way. I think for us being able to achieve the license to start selling the day before Colombia started quarantine is being a tremendous significant advantage and that just speaks to the volume of the quality of the team that we have. And just lastly, before we turn to questions, I think maybe we will be good to have 50 minutes of questions. Just want to remind everybody when we started this company, we did not want to get into the commodity business. We did not want to sell $0.80 a pound coffee. We wanted to sell $4 a lettuce. And as much difficult as that can be, because of regulatory constraints and such, right now we’re the company that can prove that we can do it. We have deployed cash efficiently and very smartly and we have the capital to keep going forward. So now with that being said, Chris, I think we could open for questions. I’m more than happy to answer anything that anybody has on what they saw from our press release on Friday.
Chris Naprawa: All right. Thank you very much, Alvaro. I just want to remind everybody there’s always questions about what’s your revenue going to be this quarter and next quarter, so everybody understands that’s just not something that we can do. The company does not provide guidance. We refer to the analyst research reports which you can go and find from your brokers. But we don’t give any guidance on what the revenue is going to be or what our current cash position is or anything like that. We stick to everything that’s just in the public domain. So for those of you that have those questions, give me just a little bit more light [ph] on that. If you look at our Q4 numbers, it wasn’t a whole heck of a lot different for Q1 that we released. We announced that we made first medical sales in Colombia for our medical CBD products but that was at the very end of the quarter, the last week or two of March. So that can give you an idea of what Q1’s kind of looking like. But the majority of the CapEx spend is behind us. The majority of the spend at Zerenia, the facility, et cetera, that’s all behind us. So that will give you kind of a sense of what’s going on. And first question is, what’s going on in Europe and what can we expect from Europe? And this is from Declan [ph]. So I’ll start out. Alvaro, you can kick in if there’s anything there. So as you know, we launched in Europe in October of 2019. We hired an exceptional team over there. That team has continued to grow. We were accepted into the 2021 program which is endorsed by the NICE, The Royal College of Physicians and the NHS. Our understanding is the very first doctor appointments are happening as we speak and we’ll expect to be able to tell you very, very soon that we have our first prescriptions for medical cannabis going out in the UK market, which is a very, very exciting milestone for the company. Next question is from Kim [ph]. Alvaro, just an overview, can you just kind of give any color on the reopening timelines in Colombia and what that means potentially for THC approvals and what other regulatory approvals do we need in Peru?
Alvaro Torres: Okay. Yes. So as of today it looks like the government will end the quarantine on May 11. That could be delayed a little bit further depending on whether we can flatten the curve or not. I think what we can see from the government particularly INVIMA and the National Narcotics Board, the only thing that we’re looking for is notifications so that we can actually start dispensing THC. Remember that the license that we got we can make both products, but we are not allowed to prescribe THC yet. But I think that will happen in the next couple of weeks even if the quarantine gets extended a little bit just because the government’s also going back to work and most people are also working from home. And there are exceptions that the government has given to – for industries that can actually start to getting back to work since last week, we need some of those function areas of the government. So that’s the only thing that we’re looking forward, but it’s really just a very simple notification for us. So we’re working ahead in making sure that we can train all the doctors so we can start those prescriptions with high THC very soon in Colombia. As far as Peru goes, we have the import license now. We’re looking now then to get our partner Farmacia Universal to get registered to dispense medical cannabis. That process is already ongoing. The Peruvian government, it probably takes a little bit longer than Colombia to go back to work; so if not weeks, probably a month or so. And then once [indiscernible] and the government decides to go back, which I think is about May 15 today – beyond May 15, then we are looking to get the import license for THC from the import license that we already received. In reality, we already started this paperwork. And so what we see in Peru is that anything that will happen in Peru will probably start very early in the second half of this year just because after that, then we have to work on all the logistics to be able to start Peru. I don’t think that we will see anything this quarter just because of the COVID restrictions and such. But we already placed for the important permits that we needed.
Chris Naprawa: Okay. So there’s a couple of questions here, specifically about THC in Colombia, because there’s some confusion. Like to our knowledge, we are the only company that has all the certifications to actually prescribe and sell medical cannabis in Colombia. I don’t know if you have anything to add to that Alvaro, but obviously we got – it was very fortunate that we got that last certification right before Colombia went into lockdown. So we’ll see – we’re by no means saying that no one ever else is going to get it, we’re not saying that. But at the moment we’re the only ones.
Alvaro Torres: Yes, I just think that the point – sorry, Chris. I just think the point there is that we are able to achieve it in a very [indiscernible] in sales, and of course we expect that there will be more companies behind us and that’s all right. We’ve always known that. But as far as [indiscernible] today in terms of we’re the only license producer that can actually sell cannabis products as an operation legally by the government of Colombia.
Chris Naprawa: Right. There’s a question here from Robin [ph]. What are your plans to extend into Africa? We have none. Here’s one from Tommy [ph]. You’re granted an import license on an individual patient. How does that fit with your agreement with Medlive, and understand how that works? So in Brazil – I’ll let Alvaro fill this in, but there’s kind of two stages. One is compassionate use where you get import licenses on a per patient basis. And then after that is getting just pharam sales. But maybe Alvaro just for everybody on the line, give a little bit of background on Medlive and what our plans are there.
Alvaro Torres: Right. Okay, so Brazil [Technical Difficulty] registration which the government presented a couple of months ago, a guideline on how to register products in Brazil as either OTC or controlled substance. We are in the path towards that and I think Medlive gives us a good advantage as well, because in order to register products we need to have registered good storage practices type of companies and so forth. So that’s one of the reasons we did it. But we obtained in January is because I think for us it was important to understand that route how to get it approved [Technical Difficulty] while this product registrations are happening. So we got that approval which showed us how we get that approval. Now with Medlive, this is an amazing company. They distribute to 3,000 clinics and hospitals in South Brazil. South Brazil has 50 million people, so as big as Colombia and these are the top guys who deliver every medical product to every doctor and every clinic in that area. So when we spoke to them, we talked about how come we make – well, we did with ambition [ph] how can we multiply by 1,000 by 10,000? In order to do that, we need to have a lot of access because we need to educate a lot of doctors, we need to be able to have an efficient supply chain and we need to be able to work with somebody that’s already in the door that knows all these doctors. And that’s one of the reasons why we chose Medlive apart from the fact that in order for us to be able to come up with an affordable product that can be so disruptive in the way that Brazil patients are paying, we need to partner with somebody that had that type of presence. Now, we purposely left working exclusively on this deal for South Brazil. Brazil’s an amazing huge country with more than 250 million people and we have strategies that are going to get us to Sao Paulo and Rio and the rest of the states. I think this was important for us to show that we could do a big deal like this with somebody that can trust our brand and knows what we’re doing. We are advocates [ph] that patient education is key and doctor education is key to get patients and we are seeing that in Colombia. So having access to more doctors is going to give us access to more patients. In the meantime, we are going to be working on registering products in Brazil and I think you should expect from us a little good positive news on that front in the next months to come.
Chris Naprawa: Okay. There’s a couple of questions here on Mexico. We’ve had a lot of inbound questions on Mexico lately and what that all means for us. We are a multijurisdictional company. We operate now all over South America and in Europe and that makes us not dependent on every one jurisdiction. So Mexico a year ago was looking very, very promising; now not as much. They delayed their legislation a couple of times. And for those that follow the Mexican political situation and the general news, it’s not just cannabis. There’s not a whole lot getting done at the federal level in Mexico right now. We still are investing in Mexico. As you know, we did our deal with Tec de Monterrey which is a very prestigious university there for doctor education. Our head of medical lives in Mexico City and of course President Fox, and we continue to educate doctors and work very, very hard there. But right now, I don’t see Mexico as a near-term catalyst for the company. And near term, I mean in the next six months. That’s just my guess. I don’t know if you have anything to add on that, Alvaro?
Alvaro Torres: No. Just to add that the importance of the Tec de Monterrey. Tec de Monterrey is the number one university in Mexico. And even though we are not – because the Mexican government has delayed the regulations beyond April 30, the brand awareness that we’re getting at Khiron with that partnership cannot be understated. I think everything that we’ll be kind of working in Colombia and Peru and Brazil by the time Mexico comes up will just make us an even stronger company in there.
Chris Naprawa: There’s a couple of questions in here about the United States as well, what are our plans for the United States? So on our wellness product Kuida, we announced that we had entered the U.S. market. We also announced that we had entered the European market. We’re continuing to sell that product, but we have cut off the marketing spend for the time being due to COVID and the uncertainty around that. We continue to make sales in Colombia and we’ve recently launched our Rappi which is the new story for us as well. Another question here from, Kim. On the Colombian marketing strategy over the near term, so how are actually getting doctors and patients in Colombia right now during the crisis?
Alvaro Torres: Well, we are doing a mix of old school and new school type of techniques as you know. For example, before people didn’t watch TV. Now people are watching a lot of TV. So we’re placing specific ads on Zerenia. We’ve already started that. We did a first wave about three weeks ago and we’re going to do a second wave of that in the middle of May once we get the ability to start prescribing THC and we’re getting from industry response on that. So as you know, Khiron is a pharmaceutical company. The advertises that we can do is limited as a company that manufactures pharmaceutical products. So what we do is mostly through Zerenia which is a clinic in which medical cannabis can be prescribed. That’s one type. And the second is, we – one of the reasons we acquired ILANS is because we [Technical Difficulty] who are focused on pain and epilepsy and abnormal movements and mental health. So right now what’s happened today is we’re finalizing the training of all these 40-plus type of doctors. They already have the base of patients that have been coming to our clinic. Remember that we have [Technical Difficulty] patients that we meet every year at ILANS and there are stations that will be – we will partner with other clinics to be able to distribute our products there. There’s not much I can tell you right now about that strategy, but that’s how we do that. There’s a lot of captured patients that we’re going to be getting and lot of a people will start calling and because of the advertises that we’re doing in the marketing [Technical Difficulty] advertising has gone down significantly during COVID. So that means for us call it savings from what we had already budgeted.
Chris Naprawa: Okay. There’s a couple of more questions in here. One is about U.S. listing. We get that question all the time. We have no plans to update our U.S. listing beyond what it is today. We don’t qualify for NASDAQ. New York is not the right exchange for us. So for the meantime we have ample liquidity in all the exchanges that we’re on today. Another question here on Germany. What’s going on in Germany? As you know, we opened our German office in October 2019. And I would just say stay tuned for Germany. We’re working very, very hard in that jurisdiction and the team is doing an exceptional job over there. There’s a couple of questions here on the buyback. As you know, we launched a normal course issuer bid in I guess it was in March. We did buy stock. We disclosed that in our filing on Friday. We bought just over 500,000 shares. The timing of that was right around when the Dow was trading down in the 18,000 area and that’s what it’s there for. It’s not there for us to massively reduce the number of shares outstanding. It’s there as an umbrella, a safety net for us on days when things are going a little bit crazy and we’ve had a few of those crazy days. More questions on the up listing and Robinhood always comes up in the U.S. We’d love to trade on Robinhood. We don’t quality for that. I would tell him to write them a letter and tell them to change their qualifications and we would love to list our exchange. Okay. Here’s the next question. Operating expenses in other countries, so this is all relating to cash flow and our cash position and we get this question nonstop. End of the day what we say to everyone is that we do have a plan. That plan is fully funded with equity. We don’t currently have any corporate debt. We don’t have any outstanding converts. We don’t have any cress or multi-bidding shares. We have a very simple capital structure. Although we’re operating in many jurisdictions and the plan might seem complex on the outside, we have a funded business plan and absolutely no intention to come to markets at these levels. That is not something that you’re going to see happen. I think we’ve been really super consistent about that and we haven’t come to market. We have no plans to do so. Some more questions about forward-looking statements which we can’t do. There’s a question here about Joe Mimran. Joe resigned from the Board. He was on our advisory board in Colombia, not on the public board. Joe came in as part of the acquisition of the Uruguay assets last year. Joe made great contributions to us and we thank him for all his time and attention, but he’s onto other things and no big news on that one. Okay. I think that is most of what we’ve seen here, Alvaro. I don’t know if you have anything else you want to add.
Alvaro Torres: No. I just said everything we wanted to convey. But I think with this company, we want to keep surprising everybody. I think Europe, maybe to your point, Chris, we didn’t bring all this amazing team not be doing anything there. 2021 is an amazing opportunity for us. We’re the exclusive providers for that project which is the largest project in Europe right now and this is Khiron-branded strategy. The same thing we will do in other countries where we see – I think we are already passed the point of building infrastructure and building thousands and thousands of hectors which we’ve never actually saw us to have a real interesting strategy. Everything we’re doing [indiscernible] right now suspended and just because you mentioned that, we’ll reactive all of those plans once we start getting the traction for Brazil. But I think everything that this team has been able to achieve has been very surprising for everybody. We’re still at the forefront. And we have to continue investing, making sure that we can get the patients more access that they can get. Particularly I think in these times of COVID where’s there limited going out and there’s people not getting on the busses and the mobility is getting reduced, those deals – like what we did with [indiscernible] are important because you have to start reducing the [indiscernible] in order to get the medication. In the end, this is all about service not necessarily about product. The product has to be of great quality. But if you make it hard for the patient to get it, if you make that patient travel miles and miles in a seat to be able to obtain it, then you’re not going to be able to improve that quality of life. So I would say that everybody should be staying tuned because [indiscernible] is the just the first of many things that we will do in terms of access. So now we have our clinics where people can go. We have [indiscernible]. Now we have to work on the rest of the cities. And that footprint we will do in the rest of the country. That’s why Medlive is so important to us.
Chris Naprawa: Yes, I’ll just add to that a little bit, guys, and I know everyone’s laser focused on revenues and everything that’s happening right now in near term. But we set up this company to be a dominant company over the long term, and a lot of the building blocks have gone into that, a lot of the investment that has gone into that, you don’t really see it on the investor deck or on the Web site. There’s a lot of infrastructure that has gone into this company to be the kind of company that we want to be in 2021 and beyond. That’s what we’ve built for. We haven’t built it for today. We are well overbuilt for the business that we have today, but we’re adequately built for the business that we want to be. This journey started three years ago. Three years ago, we were the first licensee in Colombia. There’s I don’t know how many, a couple hundred now, that have it. But we’re right now the only ones with all the certifications and permits to sell THC in Colombia. That is an amazing achievement by the group who have always been focused on patients and our consumers and on high-margin products, not on ingredients and shipping containers full of product. We’re not going to make it to every single one of these questions here today and I apologize for that, but we will try to get them all answered via email or some other way. So, guys, stay tuned. Everything that’s supposed to happen has happened right now. There’s questions in here about Europe and what we’re going to do there. That is going to be a very exciting market for us, and again because we’re focused on doctors and patients and satisfying those requirements. Let me see this. There’s a whole pile that just showed up all of a sudden. There’s a question here about Kuida in California. As I mentioned before, we have cut off the marketing spend for the moment for the U.S. just as people aren’t going out of their homes and not being able to buy stuff and people aren’t – excuse me, they’re not in their offices and all that sort of stuff. So for the time being anyways, we’ve taken a break on that.
Chris Naprawa: But anyways, guys, I think that’s it. We’re going to end it there. We’ll try to get to the rest of your questions later. But thank you very much everyone for joining. Please follow us on Instagram @khironlife; sign up for our news letter at investors.khiron.ca. We try to be as transparent and answer everything – all questions. We’ll do another one of these in a month or so. We’ll have a lot more to update you at that time. Thank you, everyone.
Alvaro Torres: Thank you.